Operator: Good afternoon and thank you for participating in today's conference call. Now, I will turn the call over to Bruce Davis, Chairman and CEO of Digimarc. Mr. Davis, please proceed.
Bruce Davis: Thank you and good afternoon. Welcome to our conference call. Charles Beck, our CFO, is with me. On the call today, we'll review Q3 financial results, discuss significant business developments and market conditions, and provide an update on execution of strategy. This webcast will be archived in the Investor Relations section of our website. Please note that during the course of this call, we will be making certain forward-looking statements, including those regarding revenue recognition matters, results of operations, investments, initiatives, and growth strategies. We will also discuss from time to time information provided to us by channel partners and actual or prudential customers about their business activities. Please appreciate that we are providing this information as we understand it was represented to us by the customers and partners and we do not verify for such information. Such forward-looking statements and statements of our partners and customers are subject to many assumptions, risks, uncertainties, and changes of circumstances. Any assumptions we share about future performance represent a point-in-time estimate. Actual results may vary materially from those expressed or implied by such statements. We expressly disclaim any obligation to revise or update any assumptions, projections, or other forward-looking statements to reflect events or circumstances that may arise after the date of this conference call. For more information about risk factors that may cause actual results to differ from expectations, please see the company's filings with the SEC, including our latest Form 10-Q that we expect to file shortly. Charles will begin by commenting on our financial results. I’ll then discuss significant business developments, market conditions, and execution of strategy. Charles?
Charles Beck: Thanks Bruce. Good afternoon, everyone. Revenue for the quarter was 5.4 million, down from 6.9 million in the third quarter of last year. All of the decline was due to lower license revenue, reflecting the end of payments from Verance Corporation last year. Service was down slightly due to timing of program mark, while subscription revenue was up slightly due to higher Digimarc Discover and Barcode revenue. Gross margin was 61% for the quarter, 8 points lower than the third quarter of 2014 reflecting the impact of lower license revenue. Operating expenses were lower than Q3 of last year by 300,000 or 4% reflecting lower spending in R&A and G&A, partially offset by higher investment in sales and marketing as we shifter focus in execution of strategy to market development and delivery for Digimarc Discover and Barcode. Since the end of last quarter, we’ve increased staff by 16 bringing the total number of employees to 170. We expect to hire another 10 or so employees by the end of the year. These figures represent a net increase in staffing including the reduction and personnel for the Guardian area of our business. Growth in staffing has spread pretty evenly across sales and marketing, engineering, operations and IT in repose to increasing demand for professional services and software development associated with Digimarc Discover and Barcode. Fourth operating expenses will be higher than the third quarter by approximately 700,000 due to these increases in personnel. Bruce will provide more color on the motivation for these investments in his discussion of execution of strategy. The net loss for the third quarter was 4.5 million or $0.54 per diluted share versus a net loss of 2 million or $0.28 per diluted share in the same quarter last year. The larger net loss was due to license revenue and 1.3 million of non-recurring income tax benefits recognized during the third quarter of last year. Overall, year-to-date financial results are relatively in line with our expectations. License revenues are down year-over-year due to expiration of payments from Nielsen and Verance. Service revenues are up an 11% year-to-date. Some of the growth in services so far this year is due to timing of program work, so we expect full year growth to be a bit less. Subscription revenue is up 13%, growth in these areas is not yet adequate to offset the decline in license revenue. License revenue is appeared to a leveled off. The balance sheet is in excellent shape with roughly 43 million of cash and marketable securities and no debt. We raised 13 million of capital during the quarter by selling 342,000 shares of our common stock under our aftermarket offering program. The average price per sales during the quarter was nearly $39 per share. These sales consume the remaining authorization for this program. The ATM program is proven to be remarkably efficient means to raise capital yielding over 29 million in capital at a cost of less than 4%. We also added two high quality long term investors to our shareholder base, one in December last year and one in July of this year. Our share prices appreciated over 50% during the life of the program. Year-to-date, we’ve invested 7 million of cash to fund our operations and 1.4 million of cash for capital expenditures including pattern costs. Our use of cash ramped up during the year as we increase staffing and sales, marketing, engineering and operations. As promised, we have reduced spending and improved operating efficiency in the Guardian business resulting in better operating margin. So far this year, we have reduced the annual rate of expenses for the Guardian business by over $1.5 million through better management of variable costs and more efficient and effective staffing. We expect Guardian revenues to be down approximately 500,000 from 2014. We had some preliminary views about our baseline budget for 2016 that we’d like to share. Without assuming the triggering of inflexion points in Digimarc Discover and Barcode through adoption by large and influential customers, revenues would likely be at marginally compared to 2015, reflecting growth in Digimarc Barcode revenue and flat to slightly lower revenues in other areas of the business. These are conservative estimates for budgeting purposes, reflecting the difficulty in forecasting the timing and sequence of early adoption of Digimarc Discover and Barcode, which is largely dependent upon the timing and pace of adoption by larger retailers and brands. It is also important to remember that revenue will lag bookings due to U.S. GAAP revenue recognition rules. The baseline revenue assumptions would yield gross margin around 60%. Operating expenses are expected to be higher than 2015, reflecting the full year impact of increased staffing and sales, marketing, engineering, operations and IT. Cash used in this scenario would be 4 million to 5 million per quarter depending on the timing of customer fees and vendor payments. For further discussion of our financial results and risks and prospects for our business, please see our Form 10-Q that we expect to file shortly. Bruce will now provide its comments on significant business developments, market conditions and execution of strategy.
Bruce Davis: Thanks Charles. Before we get into a detailed discussion of Digimarc Discover and Barcode, let me briefly comment on other areas of our business. As promised on our last call, we have taken steps to improve management, business practices and financial performance in our Guardian area of business, including reducing variable cost of service delivery lowering fixed cost and carefully scrutinizing margin prospects from new business opportunities, the other results from the efforts show improving gross margins and a large reduction in the go forward run rate of expenses for Guardian. We stated goal on the last quarterly call to get the cash flow run rate to breakeven or better within two and three quarter and we’re on track to accomplish this goal. Everything has stated cool in the payment area, we have an approved budget with the Central Banks from next year that should reflect historical financial trends for the growth in that area of the business. And regarding pattern portfolio, we’re successfully into the several licenses so far this year. We did not acquire any new pattern licensees for engaging any reinforcement activities during Q3. That appears that license revenues are stabilizing ending many quarters of decline. The supplier networks supporting Digimarc Discover and Barcode is developing nicely in our channel partner program. The goals of our channel partner program are to put in place multiple sources of supply for our critical elements of infrastructure and amplify our sales and marketing via the client relations capabilities of these partners. Expansion on elaboration of infrastructure being the channel partner program is very important and that allows us to focus on our core competence in identification and discovery processes, consistent with our goal of making efficient use of working capital as well as force multiplier in sales and marketing and provides read access to multiple sources of supply fast in growth and globalization. The key elements of infrastructure for Digimarc Discover and Barcode are the registration of eligible media objects, discovery of these objects by relevant computer interfaces and the provision of applications based on discovery. In our last calls, I said we were anticipating several additional partners who joined the program in the year. We announced some important additions to the program since then. Our similar work in the application of Digimarc watermarking the copyright protection was recognized by the Nation Academy of Television Arts & Sciences with an Emmy award for technology and engineering excellence, a nice coincidence with our recent announcement of our work with Neilson. We have reactivated our joint venture and are working together to enable television and radio programmers and advertisers to use the watermarking already in the vast majority of broadcast in America for audience for a wider range of valuable applications. Our joint venture also intense to supply the Digimarc Discover platform for use the implementation of supported these additional new capabilities required to meet needs of Neilson clients. The Neilson collaboration for this realization of our goal makes Digimarc Discover a comprehensive software services platform for efficient accurate and economical mobile engagement with all media including television, radio, movies, publication and consumer products. We aim to enrich everyday living the reliable and efficient automatic identification of things of interest to consumers with smart phones to Digimarc Barcode, the barcode is everything and are associated intuitive computing software Digimarc Discover. We continued to expand consumer access to Digimarc Discover by establishing partnership with ScanLife, a leading mobile relationship management won the most popular mobile application for engaging consumers with UPCs, QR codes and some more identifiers associated with product purchasing. Their adding Digimarc Barcode detection to their ScanLife mobile application giving million of ScanLife smartphone app users and improved experience and given marketers another option for enhancing engagement with consumers. ScanLife has achieved significant reach among smartphone owners processing over 45 million engagements by consumers and over a 140 countries during the first half of 2015. Q3 was a first full quarter since the launch of visual Shazam-ing in May, several campaigns have been enabled since then. By the way of example, Disney activated three movie campaigns from visual Shazam-ing including Tomorrowland, Hitman and Inside Out. [indiscernible] magazine made their August, September, October issues Shazam making readers to workout videos and recipes from pages in the magazine of special books September issue features 30 products from retailer target enabled for shop now. And Todd Waterbury, the Chief Creative Officer of Target commented in the New York Times that the ability to be one click away from a product that we sell is essential. We’re always looking for way is to fleet that experience in the easiest way possible. First magazine 100th issue - 1000th issue pardon me for me provides it’s end users with easy access to previous issue than iconic images from the past 82 years. [indiscernible] the second largest book publisher in the world enable to book covers in the U.S., Canada and UK. It also a Digimarc Guardian customer making them the first book publisher to imply our solutions in both print and digital editions of their books. Further to enhancing consumer engagement, we announced a significant update to our Digimarc Discover software today featuring unparallel ease of use, reliability and speed for scanning conventional barcodes and the excludability scan in perceptible Digimarc Barcodes have begun marketing at to retailers. The updated software features several proprietary optimizations that vastly improve scanning of the most common retail barcodes for mobile devices. That continues forging a unique and proprietary path for model as Intuitive Computing providing consumers with the world’s best discovery platform for mobile shopping. It is both high performance and low prices regarding competitive alternatives for conventional barcode scanning. The packaging of these attributes of Digimarc Barcodes reading provides what we hopeful be a compelling argument for replacement of all existing scan engines and retailer smart phones with Digimarc Discover. Several global brands have informed us that inclusion of Digimarc Barcode reading in leading retailer applications is very important to their ability to employ our platform to enhance consumer engagement. For front store efficiency, we continue to work with leading retail scanner vendor to implement our software in our immerging products and hope that all the leading vendors showing product at or before the National Retail Federation show in January. It continues to be an excellent development partner. Including material that’s increased significantly, the pace of production for Wegmans private label products has ramped considerably in recent month. Four more retailer of vendor production from small initial quantities of private label packages for using the valuation of testing. Similarly several global brands have provided package designs to support various group of concept studies and including collaboration with our retail clients. We have received files before such potential brand clients. I am pleased to note that SGS has also begun production augmenting our capacity and helping with some backlog. In the early stages of adoption of any technology, quantification of benefits and costs are subject to many uncertainties. As we focus on tangible cost and benefits of a small subset of obvious applications for Discover and Barcode is likely that our initial business cases may understate the full impact of these innovations. Such was true in the early years of conventional barcode adoption by the U.S. grocery industry. On 1999 study of the first 20 years - 25 years by IBM and the global commerce initiative compared early industry estimates of economic impact with actual results. This study concluded their actual cost of adoption amounted to only half the original predicted cost as technology prices drop more quickly than anticipated. In our case, I expect that the professional services cost that enabling package has all declined significantly within the next several years as more suppliers come on board and we refine the business processes and tools to support their activities. We added five personnel to our professional services teams since the end of Q2. I don’t expect the Digimarc professional services team to grow a lot more for the time being in light of significant increases in services capacity coming onboard via channel partners. I would like them to focus that is our staff on the hard packages doing R&D and developing valuable intellectual property leaving high volume work to our channel partners and allowing us to enjoy the financial and operational benefits of our partners’ worth. The study also just what they call hard benefits of barcodes defined as measurable cost reduction in areas such and checkout and price marking labor, checkout losses and bookkeeping. These are some sort benefits to refer gains in areas such as inventory management shrink control sales lift and improved warehouse operation. They found there that not only where the crossover estimated but the benefits were drastically underestimated. Essential net benefits from 1997 amounted to six times the original projection expressed as a percentage of barcode enabled sales. In particular soft benefits by 1997 were estimated 12 times the original projection in terms of percent of total barcode enabled sales. The adoption of barcode scanning much more widely across the industries and expected led to an impact in absolute dollar terms there was orders in magnitudes larger than originally forecasted. I am providing this brief economic history of the early development of barcode market helping better understand our market development strategy and working capital management, both of which are infused with lessons learned from the long journey of the barcode to its dominant role in automatic identification of a broad range of items across many industries. The history of barcodes illustrates the importance of active collaboration among key stakeholders, transparency, focuses on quality and continues assessment, the cost and benefits. We had been taking advice from GS1, the trade association that facilitates industry initiatives regarding barcodes, administer standards promoting data integrity and provides educational support activities to its members. We have a common goal of assisting the industry to assess Digimarc Discover and Barcode and facilitate timely and cost effective adoption of the platform where it can helpful to GS1 members. We made our first joint presentation recently entitled Digimarc GS1 the barcode of everything and the member only private brands some it’s sponsored by the Food Marketing Institute and is headquarters in Alton, Virginia on October of 22nd. The Food Marketing Institute is a global trade associating serving the food retailing industry with over 1,200 members. It’s U.S. members operating nearly 40,000 retail food stores and 25,000 pharmacies representing combines annual sales volume of almost $770 billion. We have made some improvements in our website which will be launched shortly. Our web interfaces a critical element of the infrastructure to support globalization of the barcode of everything. The new website will more clearly identify our target markets and the relevant solution and value propositions for customers and business partners in those segments. Many applications have been built on the foundation of our inventions over the years, including the torrent system authentication of government issue credential, protection from movies and digital images, television and radio audience measurement, broadcast monitoring, copyright protection for digital cinema, blue-ray movies and mobile print internet for publishing. We will see to more use cases by partners from around the world demonstrating their successes and giving confidence to perspective customers about the value of our platform. Our recent expansion of sales, marketing and engineering anticipate the strong portion to relevant develop our communities. Application developers are key to delivering the value from the Digimarc Barcode. Work in Digimarc Labs will become more visible, encouraging software develops to build applications that will expand the value of Digimarc Discover and Barcode. We are streamlining the engagement of signup process to reduce friction, the improvement in self-service will facilitate experimentation and adoption around the world. The traditional barcode had a transformative effect on the global economy. We expect the Digimarc Barcode to provide an efficient, reliable, scalable and economical successor providing significant benefits to multiple industries. The Digimarc Barcode is an essential ingredient in our pattern to intuitive computing platform that efficiently combines discovery via Digimarc Barcode with other discovery means including traditional barcodes. Our work will continue to focus on our core competence and identification and discovery of media, the fruits of which we will believe will alive in an application developer community to build expansive value on the platform. We tested some key assumptions with the help of well respective research firm, who published the findings which refined to be quite consistent with certain key assumptions that we have about mobile consumer engagement with brands in the modern shopping experience. The finds reinforce our observations at an increasing demand for efficient and reliable access to dynamic data will be necessary to deal with the new answers of complex labeling requirements, regulations and consumer preferences. The Digimarc Discover and Barcode provides unprecedented - performance and flexibility to address these growing needs. We will be participating on a number of financial market and trade events in the fourth quarter. Our increase in marketing resources is enabling us to increase our share in important areas of the developing market for Digimarc Discover and Barcode. Presentation that industry events of generate demand and reduce friction. Our participation in the past has been hampered by lack of resources, things are changing. We are ramping up our participation industry events and other communications channels starting at retailers’ brands, designers, developers, packagers and printers. In the past few weeks, we’ve exhibited the Shopper Marketing Expo in Minneapolis at October 13 to 15 with the presentation packing the sales in Chicago October 12 to 14 and the Frankfurt Book Fair October 14 to 18. In addition to the presentation with GS1 and FMI, we presented tapping in the mobile opportunistic packaging at the best of Food and Beverage Packaging Conference at the McDonalds campus in Illinois for early today. During the next few weeks, we are presenting in the Solution Provider Technology Showcase at the Retail Industry Leaders Association as a protection innovation form and are the presenting sponsor for the 2015 Northwest Arkansas Technology Summit of the conventional center is Rogers, Arkansas on November 10th. Of course our big show, the National Retail Federation Show in New York City January 17 to 20 will showcase our progress in our expanded both and partner exhibits. Upcoming financial presentations include the Imperial Capital 2015 Security Investor Conference in New York December 9 to 10 and 18th Annual Needham Growth Conference in New York City January 10 to 15 one week. I believe we are in the right place of the right time with Digimarc Discover and Barcode, the barcode of everything. Retailer desperately need help wining in their stores by building digital relationships with their customers at the point of purchase. Discover offers much broader engagement proving a seamless shopping experience of scales effortlessly and globally across every brands impression in the shoppers increasingly mobile. The matter how the consumer chooses the shop where they are to help in-store, online, at home, on the go, mobile first, easy and effective. As we brought an awareness and demonstrations that are intuitive computing platform can do everything that conventional barcode does but more reliable, must faster and with no humor order facts, we continue on the path of profitable growth and significant appreciation value of our company. There is obviously much more to be done and continuing investment is necessary to meet these goals. We are doing what we can to bring more evidence of progress to the public view as the year progresses and lay the foundation for a highly successful exhibition that interrupts in January. In the increase rate of investment carries within an awareness of the need to demonstrate apart to significant revenue growth and profitability. We intend to provide continuing evidence of progress in execution of strategy. That’s it for our prepared remarks, now we’ll open the call to questions.
Operator: Thank you, sir. [Operator Instructions] Our first question comes from Josh Nichols from B. Riley.
Josh Nichols: We know that for this year when that they push was to increase channel partner relationships and that’s a pretty successful, now that we are getting later on in the year, can tell us little bit us to what the strategy for 2016 might be?
Bruce Davis: Yes, so we will do what we can to sell all we can in ‘16 and to maximize the beneficial effects of our channel partners and supporting that. And we will continue to add channel partners and we will continue to grow share like our share voice in the market that is informing all of the relevant elements of the supply chain about us to reduce friction and increase demand. And so we done very well this year I think in building up the channel relationships but there are still things going on, they are right before public discussion yet but in ‘16 as I said in the closing remarks here we need to demonstrate that path to significant revenue growth and profitability that’s what we intend to do.
Josh Nichols: And then just following-up, you mentioned that there were four more retailers who had intern to type of pilot of job program any information to give without that information?
Bruce Davis: No, not really. So let the public know whenever they are ready. And Wegmans as we’ve talked in the past is in full production, the other are doing pilot programs, improve the concept and that’s what we anticipated would be the status for adoption of our technology, so we are running through that process now.
Josh Nichols: Okay and just for the partnership you have it right, so Wegmans I mean they are already adopted and then on the last conference call, I believe you mentioned that there were two additional retailer two doing -
Bruce Davis: Yeah, there were four.
Josh Nichols: Now you are four, so you added one new retailer this quarter, is that correct?
Bruce Davis: No, two more. So there are total of five that are in production Webmans plus four, the other four are in initial small quality production for proof of concept testing.
Josh Nichols: Great, thank you.
Bruce Davis: You’re welcome.
Operator: Our next question comes from Saliq Khan with Imperial Capital.
Saliq Khan: Great, thank you. Hey Bruce, couple of questions for you. First one being is, how is your marketing effort targeting incorporating the - the way that’s still going to go after the millennial market and how did you envision this market growing and helping it top the revenue line growth?
Bruce Davis: Well with respect to millennial, millennial are perhaps the leading edge of the mobile centric shopper profile, but everyone it seems as you can observed in published information generally is getting more interested in formation to support your purchase decisions. And there is very broad range of relevant information. And so it poses and then possible task for the package to communicate unless it’s connected to a network with dynamic data and the other way to connect to the network would be conventional barcode or addition more symbologies if you are not going to Digimarc Barcode, so we think we are the perfect solution to the growing desire of consumers for information that’s not just a millennial but everybody wants to know more. And it’s not that what to know all the same things, they seem to have quite a wide range of factors that appear to influence their purchase decisions on their satisfaction. And so our marketing programs are really trade programs, not consumer programs. We are supporting retailers with the focus that we have in our strategy of improving their operating efficiency and enhancing their consumer engagement. And we are increasing engaged with brands in explaining the mediate benefits that brands can enjoy including the focus on our investment thesis on improving consumer engagement but moving beyond that into many other aspects of their operations. And so there is a lot of work to do in educating those customer groups but also the supply chain designers, developers and printers. And so by increasing our sales and marketing resources, we can do a better job of educating everyone about what is involved in adoption of Digimarc Barcode and Discover.
Saliq Khan: Okay, you know the same point, as you are entering a little bit closer to NRF is coming up January, how is you focus changed and how is your force going to be not only just about targeting the millennial but also getting some of these four, five piles that you do have in place, but finally getting it come out and announce who it is if they are, how many stores that they are going to be adopt their technology in?
Bruce Davis: Well, the strategy has broadened a bit but is largely as it was which is that I continue to believe that the operating efficiency benefits for retailers alone you know justify the adoption of our platform and that the most interesting initial benefit from the brand perspective is enhancing consumer engagement dealing with regulatory requirements. And so far, this increasing complexity of communication associated with the purchase process, but we are seeing recognition of the premise that are stated now in last couple of quarters that effectively whatever you do at barcodes we can do better. And so there is growing interest in the broad enablement of increasing operational effectiveness for retailers and brands. And so our presentation in January will be settle as we closer for the show in terms what people want to say about what they are doing and again, we don’t try to press that to the point where it would jeopardize our good relations we let them talk about their business as much as they chose to. So I won’t know for some time now what any of the channel partners and customers will do willing to say there, but we’ll encourage them say as much as they can in order to faster adoption within the trade.
Saliq Khan: Okay and lastly which is are there opportunities aside of the United States which you are currently exploring specifically China, it tend to be a lot of tech than different parts of the world?
Bruce Davis: Yeah, we don’t have anything to announce in far markets at this point. We continue to focus most of our resources on the domestic market. There is interest in other markets and our web interfaces critical to allowing for easy experimentation in overseas markets and we do track in experiments and where we see some reason to which out we do, but we are not trying to engage a large global sales force at this point. We have much to do here in the U.S. market. And in order to manage our working capital, effectively we chose to focus on the domestic market.
Saliq Khan: Great, thank you Bruce.
Bruce Davis: You bet.
Operator: Our next question comes from James Sullivan [ph] with Cowen & Company.
Unidentified Analyst: Good afternoon, thanks for talking my questions. So I wanted to dig into OpEx a little bit, as you said the Q4 should be about $700,000 higher than Q3, is that right?
Bruce Davis: Correct, yes.
Unidentified Analyst: So does that become and that was mainly due to additional headcount net of reduction, right?
Bruce Davis: Correct.
Unidentified Analyst: So is that a run rate that continues or is that on - because you also mentioned some additional spending in a couple of various?
Bruce Davis: Yeah, that run rate we do expect to continue and with increase sales and marketing personnel that will be cost you with travel and entertainment, those sorts of cost of higher headcount. That would continue, yes.
Unidentified Analyst: Okay, but is there a reason to think it might continue to increase from there as you continue to grow or do you got the infrastructure in place now that you need?
Bruce Davis: At this point, we are not planning on any material increases.
Unidentified Analyst: Okay. My second question has to do with the trial programs, so there were two in place aside Wegmans, there were two in place at the end of Q2, just curious what is the sort of turnaround time that you anticipate to take a trail program into full production or full rollout?
Bruce Davis: I would say no, you know - there isn’t any fixed program enter the program on day one and you know day 23 there is an outcome, so it varies from business to business and it varies within the business by shifting priorities or staffing and you know so it’s very hard to tell and that why as we provided some inside into our budgeting for 2016, we were not assuming any inflection points in that budgeting we’re because we can’t figure out the order in which those things might happen and the timing of them. So for budgeting purposed, we’re just assuming that we enjoy some incremental growth but that we don’t achieve those inflection points. I continue to believe that’s the way the market will develop however.
Unidentified Analyst: Okay and these four trail program are all private label, correct?
Bruce Davis: Yes.
Unidentified Analyst: How many SKUs if you know or if you can share, how many SKUs does Wegmans have up in running on the private label side and on the mix basket side?
Bruce Davis: I can’t share that with you because that’s their information to share or not.
Unidentified Analyst: Okay, thanks, I’ll get back in the line. Thank you.
Bruce Davis: You bet.
Operator: [Operator Instructions] Our next question comes from Glenn Mattson with Ladenburg Thalmann.
Glenn Mattson: Yeah, good afternoon, everybody. The question on the capital raise, the transaction, this is - I think it was this summer, can you say was that one investor I think you didn’t say and then is it - can you say for sure, just I don’t know, you may know how is it, but is it an investor or maybe a strategic partner, could you should color on that?
Bruce Davis: Yes, what appear to be the large block trade on one day was in fact a new investor, a high quality financial institution and that’s about all I can say for now unless and until they chose to disclose the ownership.
Glenn Mattson: And so if there was a - there was a fund of some source they would be - so they would have to report that at some point right or what’s the - you have released on you 10-Q or anything like that?
Bruce Davis: No we don’t believe we have any disclosure obligation and so we will be up to them when and if they disclose and we don’t make any effort to study the regulatory requirement or whatever, so they will disclose when and if they feel as appropriate.
Glenn Mattson: Okay, thanks and then in the guidance for - not the guidance but I guess the kind of whey you laid out for next year, does that assume that is any material revenue from this four trial customers?
Bruce Davis: That is not constructed in that way. We use an expected value sort of portfolio discounting approach here, so and I has to do with the uncertainly that I refer to a moment ago about sequence and timing. We would expect that during 2016, there will be many brands in retailers participating but we don’t know at this point time how the volume ramps, how long the testing last and things of that sort that will allow us to develop an estimate for that other than a very conservative one which we think about the potential success of the portfolio and we apply percentages and then we sort of think that volume has a number as a budgeting number, so that we can resource against it, like ensure we can at least serve the bottom end of the range on potentially much of the upside, but that’s how the budgeting process works, it’s really just an effort by us to come up with a sensible rate of investment as opposed to trying to be very precise on the revenue figure. And Charles point out, I think from an investor perspective and certainly from my perspective our cash was - and bookings will be more meaningful indicators than the - whatever that terms out to be. So we’re focusing on the cash flow here and on managing the working capital and making sure that we’re comfortable that we have working in capital to deliver success. And that we are spending more than we need to spend to get there.
Glenn Mattson: Okay, it is for potential trials, are these people signed up for any type of enterprise deal where they are locked in at a certain rate or if the - you know if you say convert to full customers from trails. Where there be a step up in the potential revenue, and then they say revenue but step up in the order flow the flow the - the bookings growth that kind of thing.
Bruce Davis: We don’t know, they’re titles and so we’re going to assume here they’re going to be successful, but once they’re successful then there needs to be a roll out plan and we have to get to success before we decide on the roll out plan. So I really don’t know the answer.
Glenn Mattson: Okay and do you have a firm idea on the pricing, is it going to be more of a license model or per item or should any of these turn out to be successful?
Bruce Davis: Well, as I said in my prepared remarks, I think that we’re going to be able to deliver a great deal of efficiency on an ongoing basis on professional services both directly and through our channel partner. With respect to the code D for packaging, weathers the published price. Tenant price licenses would encompass a broad range or perhaps even all users of the Digimarc Discover and Barcode platform and that will be subject to negotiation.
Glenn Mattson: Okay, just one more point of clarity also, you said there’s the four retailers beyond Wegmans and then there’s also several global brands and I’ve written down here that there were four clients, is that an additional four global brands that testing the Discover products?
Bruce Davis: The numbers that I’ve given you are in production, but in production for limited quantities for testing purposes.
Glenn Mattson: Right, so it’s four retailers and four brands right?
Bruce Davis: Yeah, that’s how I determine what - to say to you in terms of numbers are, many, many more retailers and brands that we’re engaged in conversations with, but those are actually engaged in production with us.
Glenn Mattson: Okay and then absolutely thing, the Nielson agreement, is there revenue associated with that, maybe Petrozza [indiscernible] [0:41:55].
Bruce Davis: We’ll see, if - we’re going to offer a sweep of technologies and solutions to the Nielson client base that accomplishes basically everybody in television, radio and product marketing, consumer product marketing and we’ll see how we do. So we concluded that after a period of nominal investment, we need to see how the market would shape up that there appears to be sufficient interest in having us work together for the benefit of those constituents that we should get back together and do it. It ties in also to what appears to be a bit of a renaissance of interest in digital watermarking in television and other video distribution channels. So I think everybody’s sort of getting hit to the notion that the Digimarc imperceptible in coding is very good means of managing media and providing for nominal applications built on the ability for mobile devices and other computer interfaces to accurately and efficiently recognize what I’ll call media objects, that is various elements of the media stream in the case of video and audio streams. So it’s - it looks like there’s favorable trend developing and so we and our friends at Nielson decided that we’re going to serve the client’s interest in that regard.
Glenn Mattson: Okay, great. Good luck with - in the rest of the year. Thanks.
Bruce Davis: Thanks, Matt.
Operator: Our next question comes from [ph].
Unidentified Analyst: Thanks, but my question has been answered.
Operator: [Operator Instructions] Our next question comes from Kevin Hanrahan with KMH Capital.
Kevin Hanrahan: Hi Charles, I had a follow up question to what Glenn was asking about the strategic buyer though I think you mentioned in July. I know you’re limited what you could see, my only question is, were all 342,000 share issued in the third quarter issued towards the same buyer, to a single buyer?
Charles Beck: No, they were - not to our knowledge. There is the one block - there was the one block trade of 225 K and then the reminder of the share was sold just in the open market. So we don’t know who the buyer was.
Kevin Hanrahan: To possibly are other buyers.
Charles Beck: Likely many other buyers, yes.
Kevin Hanrahan: Many other buyers, okay. Thanks Charles, it’s helpful. And Bruce I had a question about the Nielson reactivate a JV, I think that’s the way you put it. As I recall the JV with Nielson, there was two JVs which we were always confused by, so can you tell us is there one now?
Bruce Davis: There were two and are two because the other one is still in existence. Our focus initially here is on mobile engagement of consumers. And so that would - one of the ventures focused in that area, so that’s the one that we are going to be marketing in the short. The other one may sell out rather than sales as well and again we paused in the investment and because you’ve been with us long time Kevin, you may remember that we sort of we’re not engaged first and we’re trying to ferment interest in the market and the next thing I knew, there were a 100 companies, venture backs that seem to be trying to give them the business, that’s when we decided to back off and let them go ahead and experiment and spend their capital and see came off it. And so now as the years have passed, we’ve gotten to a point where we think we understand how to provide meaningful value to the Nielson client and we want to go out and offer that and see how it did.
Kevin Hanrahan: So kind of the way I would look at is, there’s an active JV and there’s kind of dormant JV at this time, is that fair?
Bruce Davis: Yeah, that’s fair, yeah.
Kevin Hanrahan: Okay and is there some CapEx associated with the one that is active on Digimarc’s part? Will you have a little bit of spending associated with that?
Bruce Davis: No, nothing material in the near term that we foresee, yeah. And again we’re - there’s been some expression of interest in us doing this, otherwise obviously we wouldn’t be dealing it, but we need to test out those expressions of interests and figure out what’s involved and then figure out how to make money together. So that’s the idea and it’s also an important element of the promise of the Digimarc Discover platform of enabling mobile centric shoppers, but also more generally mobile expenditure, consumers of information and entertainment to use that platform for all media and so television and radio are obviously very important elements of that promise.
Kevin Hanrahan: Right, right, so these applications would be the applications that customers of Nielson and Arbitron want to do that are not involved in audience measurement.
Bruce Davis: Right.
Kevin Hanrahan: Okay, that’s great. Thanks so much.
Bruce Davis: Alright, thanks Kevin.
Operator: Our next question comes from John Grimley with TJW Capital.
John Grimley: Hey, Bruce.
Bruce Davis: Hello, John.
John Grimley: Just want to understand what the brands - what’s driving the brand interest in watermarking? Is it consumer engagement or need to be more engaged with their consumer or is it inventory management or what are kind of the key sales messages that your sales force is going out with or what’s the driving the most interest from the brands obviously for retails to be check out?
Bruce Davis: I think the most exciting proposition for the consumer products company is this solving this problem of the increasing complexity of satisfying the purchase information desires of consumers and the associated, sort of flip side of regulatory requirements of the government. So the government is trying to responsible for the consumers and the consumers are asking for an increase in the complex portfolio of information and how the hell do you deliver, on the package you can’t. There are - for instance the FDA has 52 required pieces of information on every package. Well, I don’t know, often you spend time looking at the details of packaging, but there isn’t real estate left. And there is desire for information and there are some pending changes in nutritional labels coming up that have been subject to discussion where the FDA is trying to promote those changes and those changes will require sort of wholesale updating of all the packaging in the food industry. So there are big issues that the industry is facing regarding information flow at the point of purchase and that reflect the post purchase in the home and reordering context and maximize the value of what’s been purchased. And so I think that’s part of the hot button, but various brands are also looking at other applications and our strategy here is to focus our investment on identification and discovery and the fostering application development community that builds value on a fundamental code sheet and the more applications that are built on that the more inherent value there is in the global unique identifier that we license on an annual basis. So that’s strategy is to really to comfort the development community to bring more value to all the clients, but for us are marketing to focus on what is perceived to be the sort of half bug note big issue and I think that is consumer information.
John Grimley: Great, thanks and then just - last year was about the first customer, this year’s about the ecosystem. How far along are you in building up the ecosystem and how fast could you scale? I know the barcode took like five years from day one to kind of full penetration.
Bruce Davis: We’re doing pretty well. One of our next big initiatives was, foreshadowed in the press release earlier today. We want to displace all of the scanner modules in the retailer apps completely. We want to be the discovery engine for retail and so that’s an important element of the ecosystem because even though we have scan buy Scan buy and suzam [ph], who are embracing our platform. They have value propositions for the brands that differ from the large retailers and the large retailers are an important of being able to deliver the up enhanced consumer access to information. And so that’s the relevance of this morning’s announcement is that, we want to take that entire function over and we believe that will be a very strong value proposition to the retailers. As we progress in that our perceived value to the brands increases, which will cause them - the brands to embrace us more quickly and more fully. So that’s the strategy, that’s one example of continuing to fill out the infrastructure here. There are some other things that we’re doing that we’re not quite ready to talk about yet, but we’ll continue to fulfill the promise that I’ve stated provided multiple sources are supplied for every element of key critical infrastructure on an ongoing basis. But we also want to demonstrate the path to revenue growth and profitability as soon as we can. And so we’re really - as you follow the progression of the strategy from last year sort of debugging the process with our wonderful first customer at Wegmans, this year was getting more perspective customers in the pipeline into production expanding our production capability, refining our tools and business processes and that are expanding sales and marketing, all of that is the foundation for hopefully beginning to sign up significant customers and generate significant bookings and cash flow and revenues.
John Grimley: Great and then last question, as the years line by so quickly, where it’s not that long to interrupt, you guys are planning to do interrupt this year again?
Bruce Davis: Yes, we’re going to have a significantly larger presence or boosts three times as large as it was last year. And we believe we’ll have an increased participation around the flow from general partners.
John Grimley: Got it, so that’s always kind of the year end for you guys. So that’s - it should be a big. Okay, I just wanted to make - put it in my calendar to make sure that - make sure you were showing up again? It sounds like you’re -
Bruce Davis: Yeah, it’s - that interrupt is kind of our report card.
John Grimley: Yeah, I know that’s why I think of it so.
Bruce Davis: Yes, we do, yeah.
John Grimley: Alright, it’s not that far away, I look forward to it. Congrats on your progress. Thanks Bruce.
Bruce Davis: Thank you, John.
Operator: And we have a follow up question from the line of Glenn Mattson with Ladenburg Thalmann.
Glenn Mattson: Specification rrom Charles, could you go through - what was the - was there a cash burn number you gave, was it 45 million quarter, is that what you said?
Charles Beck: Yeah, we used 4 million in Q3 and we expect to use a similar amount in Q4, that’s excluding the financing activities.
Glenn Mattson: Yeah, that’s including CapEx and things right, the free cash flow?
Charles Beck: Yes.
Glenn Mattson: Okay.
Charles Beck: That includes CapEx, that includes CapEx.
Glenn Mattson: Yeah, okay, okay.
Charles Beck: And I said for - based on our baseline budget for next year, we’ll be in a similar range 4 million to 5 million per quarter, again under just the baseline budget.
Glenn Mattson: Okay, I heard 3.3 million in Q3, is that - you said - what did you say, about four?
Charles Beck: Yeah, I think if you back out all the financing stuff.
Glenn Mattson: Alright, sounds good. Thanks.
Operator: Ladies and gentlemen, we have exceeded the allotted time for Q&A. I’ll now hand the program back over to Bruce Davis for any additional or closing remarks.
Bruce Davis: Thank you everyone for your continuing support. We will report again to you actually at the financial conferences coming up. We’ll provide some updates and then we’ll be, as I mentioned a moment ago putting on display all that we can make public in January. So thank you very much for your support.
Operator: This concludes today’s call. Thank you ladies and gentlemen.